Muneaki Tokunari: Good afternoon. This is Tokunari CFO. I would like to thank you for your precious time despite your busy schedule to attend our financial results briefing. I will explain the financial results for the third quarter of the year ending March 31, 2024, as well as our forecast for the full fiscal year 2024. The top half shows the summary of Q1, Q2, Q3 cumulative results and the bottom half shows the summary of Q3 alone. From Q1 to Q3 cumulative actuals for the nine months from April to December, year-on-year basis, though revenue increased but operating profit declined. As shown in the bottom half, as for Q3 alone, namely October through December, just like Q1 to Q3 cumulative basis, revenue went up but operating profit went down year-on-year. Slide 4 shows the cumulative numbers from the first to the third quarter of the year. As shown in the yellow layers, though operating profit and profit attributable to Owners of Parent went down year-on-year, free cash flow improved significantly. This was driven by the improved working capital and the sale of investment securities, etcetera, resulting in the positive free cash flow for Q3 alone. Over the past six quarters, we continued a negative free cash flow due to the M&A we had in order to expand our business operations as well as the increased inventory. We intend to conduct our business operations while keeping an eye on the free cash flow. Slide 5 shows the cumulative results from Q1 to Q3 by segment. Though we enjoyed growth in revenue in all the segments except for the component business, in terms of operating profit, only the imaging products business shows the growth year-on-year. Going to page 6 and onward, I will now explain each segment Q1 to Q3 year-to-date, starting with the imaging products business. First, in the imaging products business, revenue was ¥221.9 billion, up ¥37.5 billion year-on-year. Operating profit became ¥42.9 billion, up ¥1.7 billion year-on-year. Sales of mirrorless cameras, mainly Z8 and ZF and interchangeable lens mirrorless cameras grew firmly. We also made efforts in shifting to mid-to-high-end cameras for professionals and hobbies, which resulted in high ASP. Cheaper yen also contributed. Here now I would like to further explain looking into the third quarter results from October to December compared with the plan. In October through December, digital camera interchangeable lens type grew 19% and interchangeable lens grew 16% year-on-year, almost hitting the plan. As for operating profit, partly thanks to the cheaper yen as tailwind, we went above the plan. We achieved 20% plus operating profit, just like the third quarter last year. Thanks to our strategy making shift to professionals and hobbies market and mid-to-high-end cameras, this imaging products business remains as our major source of revenue for Nikon as a whole. Next, the Precision Equipment business. Revenue was up ¥21 billion, becoming ¥154.5 billion year-on-year. Operating profit down ¥3.2 billion, becoming ¥11.1 billion. Semiconductor lithography systems, driven mainly by our major ARF lithography systems, we sold 22 new systems, up 8 units from the previous year. As for FPD Lithography Systems, the units went down by 8 from the previous year, remaining at 11 units. For the entire Precision Equipment business, the ARF lithography systems grew in sales, but it was not good enough to overcome the profit decline in the profitable service business and FPD business. For your information, in this third quarter, we were able to sell 3 new FPD lithography systems for Gen 10.5. Though we had already shipped these 3 units to the customer, but due to the situation on the side of the customer, the revenue generation had been postponed. But this time, we were able to book the revenue meeting with the accounting requirements. Slide 8 on the Healthcare Business revenue was ¥76.8 billion, up ¥4.7 billion year-on-year. Operating profit was ¥2.9 billion down ¥4.3 billion year-on-year. Revenue grew on the increased sales in North America and China in life science solutions on top of the cheaper yen effect. Operating profit declined due to the higher parts prices and new one-time costs such as disposal and write-down of inventory. Now allow me to expand on this one-time cost. Disposal and write-down of inventory was as much as ¥1 billion. We had to pay our lawyers to address the reserves for the retinal diagnostic imaging system, which we booked during the second quarter, as well as the technology survey costing us about ¥500 million. We booked those provisions in the third quarter. Slide 9 shows the component business. Revenue was ¥32.3 billion. Operating profit was ¥11.6 billion. Both revenue and profit went down. In the semiconductor business, EUV-related components were almost the same level of the last year, but we were affected by lower utilization rates among the semiconductor device manufacturers, optical parts, and other consumables declined in sales. Non-semiconductor customized products and encoders declined also in sales. But October through December Q3 alone, the results were almost in line with the plan. Now slide 10 on the digital manufacturing business. This segment consists of industrial metrology business and the newly established advanced manufacturing business or ADM business. In the ADM business, revenues were up ¥14.9 billion year-on-year, thanks to the sales contribution by SLM, our newly consolidated affiliate in Germany. Operating profit deteriorated further by ¥9 billion since last year due to the operating loss by SLM, as well as the amortization of the non-tangible assets and upfront investment for the industrial metrology business, as well as increased costs driven by the cheaper yen. But on the quarterly basis, the deficit size is now showing the trend of becoming smaller. Operating loss for the third quarter declined by ¥1.5 billion from the second quarter. Next, I would like to go through the forecast for the full year. For the full year forecast, revenue for the precision equipment business is revised up ¥13 billion, healthcare business is revised up ¥2 billion, so the company total forecast is now ¥705 billion. On the operating profit side, the imaging products are revised up ¥1 billion, the precision equipment business is now revised up ¥4 billion, but healthcare business revised down ¥3 billion. Company total forecast for operating profit is now revised up ¥2 billion to ¥36 billion. Profit attributable to owners or parent remains at¥ 27 billion. Annual dividend forecast is ¥50 per share, unchanged from the previous forecast. As for our exchange rate assumption for the fourth quarter, ¥140 for the U.S. dollar and ¥150 for the euro, unchanged from the previous forecast. Now please go to slide 13. This shows the financial highlights for the full year forecast, indicating changes from the previous year, as well as the previous forecast. I have already explained the highlights. Slide 14 shows our full year forecast by segment, showing changes from the previous year, as well as the previous forecast. I will go through details by segment. First, the imaging products business. Please refer to the bottom left. As for the digital camera market scale as a whole, in light of the latest trend, we revised down from our November forecast. Digital camera interchangeable lens type, 6.1 million units, down 200,000 units from the previous forecast. Interchangeable lens, 9.8 million units, down 200,000 units. But as for Nikon, DCIL are 800,000 units. Interchangeable lens, 1,250,000 units. So no changes here. Though the market expansion pace is slowing down, we believe Nikon cameras and the lenses continue to enjoy a firm sales going forward. Revenue remains the same as been ¥275 billion, no change from the last forecast. Year-on-year basis, on top of the higher sales volume, higher ASP would contribute to the growth of 21% in revenue. As for the full year operating profit, in light of the third quarter actual performance, we have now revised up to ¥44 billion, up ¥1 billion from the previous forecast. It is going to be up ¥1.8 billion in profit year-on-year. Slide 16 shows the precision equipment business. First, please look at the bottom left. The FPD lithography systems, which is the addition of the three units of the Gen 10.5 booked in the third quarter, our full year forecast is now 16 units. As for the semiconductor lithography systems, 30 new systems, no change from the previous forecast. But the installation of the refurbished systems already delivered is to be postponed till the next fiscal year due to the customer situation. So we expect refurbished units will be 12 down 4 units. With these changes units as well as the effect of the cheaper Japanese yen in the third quarter, our revenue forecast is now revised up by ¥13 billion from our November forecast, becoming ¥213 billion. As for operating profit, thanks to the growth in revenue, is now revised up ¥4 billion from November forecast to ¥12 billion. Next, please go to slide 17. Here now I would like to explain the healthcare business. Reflecting the cheaper yen impact in the third quarter, we revised up our revenue forecast to ¥105 billion, up ¥2 billion. We expect particularly the life science solutions would grow in revenue year-on-year. We revised down our operating profit forecast ¥3 billion to ¥6.5 billion due to the one-time cost for the provision booked in Q3 and eye care solutions. Profit in the third quarter declined significantly due to the one-time cost. But we believe operating profit in the fourth quarter should be reaching the same level of the last year because the one-time cost will be reduced significantly in the fourth quarter. The healthcare business so far enjoyed a smooth growth in revenue and operating profit, but in the current fiscal year, we had unexpected one-time expenses such as eye care. Though the revenue would grow, we expect profit would decline. As for the next fiscal year, though we are still working on the budget, we believe the healthcare business will grow firmly. Slide 18 shows the forecasting for the component business. No change from the previous forecast both in revenue and operating profit. Looking at the trends of the semiconductor-related customers, there are almost no changes from the previous forecast we made back in November. We believe the fourth quarter would go as we planned. Now the last slide 19, this is the Digital Manufacturing business. There are no changes from the previous forecast both in revenue and operating profit. We are going to have some revenue coming from the third quarter both in the industrial metrology business and ADM business. So revenue in the fourth quarter is expected to grow compared with the third quarter. As for SLM, in the current fiscal year, we completed to make the company as our 100% owned subsidiary. Its orders received in the third quarter made a record high on the quarterly basis. So its business is expanding rather smoothly and there is no change as to our plan to go for profit in revenue for SLM on a non-consolidated basis in fiscal year 2025. That's all I plan to explain today but if I may now like to make my brief summary. In the third quarter, we are able to hit back the decline we had in the healthcare business thanks to the higher than planned performance in the imaging products business and in the precision equipment business. We are able to produce ¥34.4 billion in operating profit on a cumulative basis going above the planned ¥34 billion for the full year operating profit forecast. As for the fourth quarter, due to the smaller contributions to profit from the imaging products business and the precision equipment business, for the full year forecast, we are rising up to ¥36 billion up ¥2 billion. Currently, we are still working on the budget for the next fiscal year FY24. So today, I simply cannot say anything definitive. That said though, the imaging business is quite firm. The healthcare business will not have the one-time costs we had this year. We can also expect that the digital manufacturing business will have smaller loss. So we can expect to have those positive factors. At the same time, we have to assume to bear on some one-time costs as well as IT investment we need to make due to the relocation of the headquarters. So with these points considered, in May when we announce the final performance, we plan to explain not only the next fiscal year's business forecast but also we plan to look back our medium-term margin plan with the two years past and to explain our future policy. I would like to ask for your continued support and understanding with our important investors. Thank you indeed for your kind attention.
End of Q&A: